Operator: Good morning, and welcome to the U.S. Silica's First Quarter 2023 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce to you Patricia Gil, Vice President of Investor Relations and Sustainability. You may begin.
Patricia Gil: Thank you, and good morning, everyone. I'd like to thank you for joining us today for U.S. Silica's First Quarter 2023 Earnings Conference Call. Leading the call today are Bryan Shinn, our Chief Executive Officer; and Don Merril, our Executive Vice President and Chief Financial Officer. Before we begin, we would like to remind you of our standard cautionary remarks regarding the forward-looking nature of some of the statements that will be made today. Such forward-looking statements, which are predictions, projections or other statements about future events, are based on current expectations and assumptions, which are subject to certain risks and uncertainties. For a complete discussion of these risks and uncertainties, we encourage you to read the company's press release and our documents on file with the SEC. We do not undertake any duty to update any forward-looking statements. Additionally, we may refer to non-GAAP measures such as adjusted EBITDA, segment contribution margin, net debt and net leverage ratio during this call. Please refer to today's press release or our public filings for a full reconciliation of adjusted EBITDA to net income and discussions of segment contribution margin, net debt and the net leverage ratio. I would now like to turn the call over to our CEO, Mr. Bryan Shinn.
Bryan Shinn: Thanks, Patricia, and good morning, everyone. During the first quarter, U.S. Silica continued to build upon its positive operating momentum, delivering exceptional results as we reported record adjusted EBITDA and the highest level of total contribution margin dollars since 2018. Customer demand in our Oil and Gas segment remained robust, and we delivered improved pricing and margin expansion, while our Industrial segment rebounded from the prior quarter seasonality with strong results and increased sales of higher-margin products. We also successfully entered into a new $1.1 billion credit agreement in Q1 and concurrently extinguished $109 million of debt further strengthening our balance sheet. Moving on to Q1 results. Don will discuss our performance in more detail in just a moment, but first, I'd like to review some of the important trends that we saw during the quarter, starting with our Oil and Gas segment. The year began with strong customer demand and activity in January, and this positive momentum carried through February and March as we delivered the highest quarterly Oil and Gas segment contribution margin dollars since the second quarter of 2018. Very strong well completion activity, especially in West Texas drove continued supply and demand tightness in sand proppant and last-mile logistics, and we remained effectively sold out during the quarter. Our sand and sandbox prices and margins continued to expand during the first quarter. Our West Texas mines hit production and sales records in the month of March, and we achieved another record for Sandbox delivered loads in March and for the quarter. Spot prices for sand proppant continued at attractive levels, averaging mid-$40 per ton in the Permian Basin, and we executed contract extensions with Northern White sand customers at improved prices. Additionally, strong operational performance and improved plant and supply chain efficiencies were accretive to segment contribution margins. We also launched our new Sandbox system for damp sand in West Texas during the quarter. Our innovative high capacity equipment performed well, and we delivered approximately 7,500 sand loads in Q1 from the wet section of our existing mine sites. We have the capability to produce more than 1 million tons per year of damp sand at our Crane and Lamesa locations combined to support customers' operations. Overall, we delivered an outstanding quarter and a great start to the year in our energy business. In our Industrial segment, as expected, customer activity rebounded from the normal fourth quarter seasonality and margins grew significantly through a combination of our November 22 -- 2022, and annual January 2023 price increases, higher plant efficiencies generating improved costs and lower natural gas input costs. Volumes were lower year-over-year due to mild softness in building products and glass market demand. Despite this, total contribution margin still grew 13% year-over-year due to higher prices, lower cost, reduced contractor spend and increased sales of higher-margin products. In the first quarter, we also finalized several attractive new contracts which will be accretive to current contribution margin dollars and percent. Finally, last week, we announced a favorable litigation verdict against a European company that was infringing on multiple U.S. Silica patents related to our White Armor cool roof granules product line. We're extremely pleased with this favorable result and we will continue to enforce and defend our intellectual property rights across our portfolio. For the remainder of my prepared remarks this morning, I will provide updates on key developments in our industrial portfolio and then finish with a summary of our outlook for the second quarter and for the full year 2023. Regarding Industrials, we continue to successfully execute our segment growth strategy and are focused on 3 key elements, which are, first, increasing the profitability of our base business at a GDP plus rate; second, substantially growing existing high-value differentiated products such as ground silica, diatomaceous earth powders and fine fillers and high-purity filtration substrates; and third, expansion of our addressable markets with sales of new high-value advanced materials such as cristobalite, EverWhite Pigment and White Armor solar reflective roofing materials. We continue to make strong progress across these areas in Q1 with several recent achievements, including executing a 10-year agreement with a building products customer who we expect to purchase over 4 million tons of products during the life of the contract, completing a capital project, which expanded production capacity of engineered play products at our Jackson, Mississippi facility, which are used by customers in the purification of edible oils and feedstock for green diesel production, qualifying our EverWhite pigment to replace not-in-kind incumbent offerings in selected building materials in other markets such as fluid applied coatings for roofing, specialty concrete and inks for cardboards, announcing another round of price increases of up to 20% that will go into effect no later than June 1 of this year, for many noncontracted products. This round of price increases is expected to add over $9 million of incremental revenue in 2023. And finally, we will be launching our new EverWhite pigment products at an upcoming coating show, these products are alternatives to titanium dioxide and provide incredible durability and outstanding weather ability to a variety of different applications, including roof coatings, epoxy flooring, specialty concrete and engineered courts countertops. Let's move now to our business and market outlook, starting with an overall company perspective. Last quarter, we forecasted 2023 company adjusted EBITDA growth of 20% to 25% sequentially. Based on the strong start to 2023, visibility provided by our customer contracts and recent market feedback, we are raising our guidance for this year. We now forecast even more robust growth and improved financial performance with company adjusted EBITDA increasing 25% to 30% year-over-year with associated free cash flow generation of more than $200 million. Don will share further details in a moment, but we expect our net leverage by the end of 2023 to be substantially lower than previously forecast. Our Oil and Gas segment remains well positioned to continue to generate strong earnings and meaningful cash flow. Customer demand in the energy sector is robust, and we expect to remain effectively sold out for our sand proppant in 2023 with strong contractual commitments at 85% of production capacity. We continue to focus on efficiently running our operations while maximizing production levels without adding incremental capacity. And as I mentioned earlier, we will continue to opportunistically sell damp sand to selected customers in West Texas. Demand for SandBox last-mile logistics remained strong as well, and we expect continued tightness in logistics in Q2 and for the remainder of the year. Beyond our new Sandbox damp sand system, we're also working on other wellsite solutions to support our customers that I think we will certainly talk about in coming quarters. Overall, we expect Q2 volumes and contribution margin dollars for the oil and gas segment to remain around the record levels that we delivered in the first quarter. Moving to our Industrial and Specialty Products segment, we believe that we are well positioned to achieve year-over-year profitability growth due to the strong and diverse end markets that we serve. In addition, we are realizing benefits from structural cost reductions and price increases, and we are signing favorable long-term contracts. We expect that these efforts in total will offset any potential near-term market weakness. On a year-over-year basis, we expect Q2 contribution margin dollars to increase 3% to 7% based on the realization of a partial quarter of price increases and improved operational efficiencies. And with that, I will now turn the call over to our CFO, Don Merril, who will discuss our financial results in more detail. Don?
Don Merril: Thanks, Bryan, and good morning, everyone. As Bryan stated, we reported record adjusted EBITDA in Q1, driven by increased pricing and margin expansion in our Oil and Gas segment, coupled with contribution margin growth in our Industrial and Specialty Products segment which benefited from pricing actions and lower product costs. Compared to the prior quarter, total revenue increased 7% to $442.2 million. Adjusted EBITDA increased 20% to $124.6 million and total company contribution margin increased 14% to $152.8 million and overall tons sold increased 7% sequentially to $4.9 million. Selling, general and administrative expenses for the quarter decreased 17% sequentially to $29.2 million, driven mostly by lower employee-related costs in the quarter. Depreciation, depletion and amortization expense increased 7% sequentially to total $35.4 million in the first quarter as we begin to depreciate larger recent capital investments. Our effective tax rate for the quarter ended March 31, 2023, was 23.3%, including discrete items. In the first quarter, we also entered into an amended and restated credit facility consisting of a $950 million senior secured term loan B due March 30, 2030. And as part of the transaction, we also increased our liquidity by upgrading our revolving credit facility to $150 million from $100 million due March 2028. Additionally, we used excess cash on the balance sheet to extinguish $109 million of outstanding debt. With this refinance and debt extinguishment, we delivered again on our strategy to improve the health of our balance sheet. At the end of the first quarter, our net debt to trailing 12-month adjusted EBITDA ratio was 1.8x, and we achieved our 2023 goal of being below 2x levered, 3 quarters ahead of plan. Additionally, with this latest debt extinguishment, we have reduced debt by $259 million in the past 3 quarters. Now let me move on with a detailed review of our operating segment results. The Oil and Gas segment reported revenue of $300 million for the first quarter, an increase of 10% when compared to the fourth quarter. Volumes for the Oil and Gas segment increased by 10% and to a total 3.9 million tons, and Sandbox delivered loads increased 9% compared to the quarter prior. Segment contribution margin increased 16% quarter-over-quarter to $109.9 million, which on a per ton basis was $28.03, the highest it has been since 2018. These positive results were driven by ongoing strength in customer demand improved pricing for proppant, especially in the Northeast and reduced operational costs. Our Industrial and Specialty Products segment reported revenues of $142.2 million, the 2% sequential increase when compared with the fourth quarter. Volumes for the ISP segment decreased 2% when compared to the prior quarter and totaled 1,013,000 tons. Segment contribution margin increased 7% on a sequential basis and totaled $42.9 million, which on a per ton basis was $42.38, the highest rate since quarter 2 of 2021. The sequential increase in the results for the ISP segment were mostly due to price increases and the benefit of lower production costs. Additionally, it is important to note that the ISP segment contribution margin in the current quarter was up 13% versus quarter 1 of last year, which tends to be a better comparison due to seasonality. Turning to the cash flow statement. During the first quarter, we delivered $40.9 million of cash flow from operations, and we invested $18.9 million of capital primarily for facility maintenance cost improvement and growth projects. The company's cash and cash equivalents on March 31, 2023, totaled $139.5 million, which includes the impact of the $109 million loan extinguishment mentioned earlier and associated fees. At quarter end, our $150 million revolver had $0 drawn with $128.7 million available under the credit facility after allocating for letters of credit. Looking forward, we believe that we have visibility for the remainder of 2023, given the high level of proppant customer contracts in the oil and gas segment and our sticky and diverse customer base in the Industrial and Specialty Products segment. We continue to forecast robust operating cash flow generation this year with free cash flow expected to fund growth capital needs and continue to opportunistically reduce net debt. Our current expectation is that we will end the year with net leverage around 1.5x. With regards to our capital spending forecast for the full year 2023, we expect to invest towards the high end of our last guidance of $50 million to $60 million, and we may increase and accelerate our capital investments for growth projects supported by customer contracts and attractive returns. It is our intention to be disciplined in our capital spending, managing accordingly with an emphasis on effectively maintaining operating levels at our facilities and focusing on profitable growth. Finally, our full year 2023 SG&A expenses are forecasted to be down approximately 5% to 10% year-over-year, primarily due to the supplier contract termination and merger and acquisition-related expenses that took place during the prior year. Full year 2023 depreciation, depletion and amortization expense has been revised and is now anticipated to be flat to down 5% given higher CapEx spending levels in quarter 1 and assets beginning to depreciate earlier in the year. Our estimated effective tax rate for the full year 2023 is forecasted to be approximately 26%. And with that, I'll turn the call back over to Bryan.
Bryan Shinn: Thanks, Don. During the quarter, we accomplished a key 2023 goal of entering into a new credit agreement, and we also strengthened our balance sheet through the extinguishment of debt while delivering record financial results. Further, we continue to secure future cash flow visibility while expanding our market-leading positions. These strategic successes are positioning U.S. Silica well for another exceptional year of earnings growth and strong financial performance here in 2023. And with that, operator, will you please open the lines for questions.
Operator: Our first question is from Stephen Gengaro with Stifel.
Stephen Gengaro: I think the first thing I wanted to ask you about was sort of just the Oil and Gas industry supply-demand fundamentals for frac sand. It feels like it's fairly tight, and it feels like there's some stickiness to it. We've heard a little bit of -- I think Pioneer may have talked about opening another mine. But just curious, it seems like you have a lot of volumes sold out through the year, pricing seems strong. Just wanted to get your take on where the supply/demand fundamentals look over the next couple of quarters?
Bryan Shinn : So I think you're right, Stephen. Basically, we see a very tight market right now. And in terms of kind of supply and demand, we think that demand, say, in the Permian kind of drives the bus around most of this. We think capacity may be up 6% to 7%, call it, 6.5% year-on-year, and we expect demand growth up 18%. So a significant tightening as we go through the year here. We've seen it for sure in the pricing out in the market, spot prices up in the Permian. For example, recently, we've been turning down spot sales in the mid-50s per ton, and that's a pretty significant increase from where we were just a couple of months ago. So things are definitely tightening up, and I think that will be constructive for us throughout 2023.
Stephen Gengaro: And can you talk a little bit more on the SandBox. I think you said in your prepared remarks that March was a record month and you were -- obviously had momentum into the second quarter. Can you -- is that simply demand related? Or are there other factors as far as share gains or anything else behind what you're seeing in SandBox?
Bryan Shinn: So there's a couple of things. Certainly, demand is strong. But what we've tried to do, and I think the team has really been smart about this is we focused on serving the crews out in the industry that are doing the highest throughput frac jobs. So for example, those that are doing the simul fracs. And if you look at the difference, for example, a simul frac crew might use somewhere between 1 million to 1.2 million tons of sand on an annualized basis where other crews that are not as productive might only use 400,000 or 500,000 tons. So given that, at the end of the day, we make our profits on throughput from a SandBox standpoint, it's much more profitable to serve higher throughput crews. So we focused on that. And increasingly, I think customers are coming to recognize that SandBox is the best solution in the market for the really high-capacity simul fracs that we see out there.
Stephen Gengaro: And then just one more from me. When we look at the U.S. pressure pumpers and some of the things they're doing on the well integration front, including sort of trying to manage their own sand needs, the largest player is not, right? So it's not maybe as big a deal. But are you seeing that change the dynamics of the frac sand market and/or the sandbox market at all?
Bryan Shinn: We really aren’t at this point, Stephen. We’re still serving all of those customers, even though they are doing some integration, but I think the sand is still needed from folks like us and SandBox is a key part of what some of those companies are doing as well in terms of transportation.
Operator: Our next question is from Derek Podhaizer with Barclays.
Derek Podhaizer: So far this earnings season, we've got some commentary between both the service companies and the E&Ps poised and proppant is an area of relief in Oil and Gas for inflation. I mean, based on everything you guys are saying, what we see in your numbers, that doesn't seem to be the case. So maybe just could you help us reconcile the comments that we're hearing out in the market from service companies, E&Ps versus what you're actually seeing?
Bryan Shinn: Yes, it's a really interesting dynamic. And I'm sort of reminded of the old story of if you blindfold 5 or 6 people and tell them to go sort of reach up and touch an elephant, they all have different experiences and tell you it looks different. I think what our -- some of our service company customers and even the energy companies are seeing is particularly in the Permian, there's a bit of an excess of frac crews right now. And so there's some equipment that's been put on the sideline and the companies that own that equipment have contracts to buy frac sand. And so they're not necessarily using everything that is in their particular contract. So sometimes they would look at that and say, there's excess sand out there, plenty of sand. But the reality is the amount of sand that's being used in the industry is going up. So it's just kind of odd dynamic right now, perhaps some oversupply in the pressure pumping space in particular, and I think that's where some of the energy companies are kind of getting their perspective as well. But back to the elephant analogy, we sort of are the elephant, so we certainly know what it looks like.
Derek Podhaizer: Got it. That's helpful. So on the rig side, obviously, we've been seeing a lot of capitulation in the rig count. The top 4 drillers have all reported, feels like another 25 rigs come off here after 40. 40 came off at the start of the year. So I guess the question investors are struggling with is why should completions hold up when we're having this many rigs come off upwards of 60, bottoming out around the 700 range possibly. We heard one large E&P in the Northeast talk about 10% of the rigs coming out there. You guys just talked about improved pricing up in the Northeast. Just your view on completions in the back half of the year. I know you're contracted, but how should we think about that dynamic of all these rigs coming off and more to come and why completion should hold up in the back half?
Bryan Shinn: So again, I think some of what we're seeing on the drilling rig area is more a function of those folks wanting to be disciplined and holding up margins as opposed to anything else. We see customers signing new contracts for sand, signing new long-term contracts for sand. We signed even a couple of new Northern White contracts here in Q1. So again, the reality on the ground to us feels very different. And we're pretty intimate with our customers and have a good sense for what their plans are. So I can't necessarily speak for the industry. But I know just add in conversations recently, we're also seeing an increase in some of the smaller private energy companies looking at what they're planning to do for the remainder of the year seems to be much more significant than perhaps what's being reported out there. So that could be part of it as well. We've talked recently 8 to 10 small energy companies that are out there looking to do more work through the rest of the year. So perhaps that dynamic is being missed by the -- some of the folks who report on all this.
Derek Podhaizer: Got it. And those 8 to 10 as more work, is it drilling and completions or more just completions?
Bryan Shinn: It's both.
Operator: Our next question is from Samantha Hoh with Evercore ISI.
Samantha Hoh: Congrats on really a super productive quarter. I guess my question really has to do more with the SandBox. I mean, I'm kind of curious in terms of how you described it as SandBox damp system. Can you really break down for us like how much that contributed to maybe the slow delivery this quarter? Or just kind of walk us through like what this new offering consists of?
Bryan Shinn: Sure. Sure, Samantha. It's a great question. A few quarters ago, we were approached by some of our customers in West Texas that are already using damp sand. And we're looking for a couple of things. The first was a more reliable source of supply, and the second was for a really large jobs, some of the big simul frac jobs for additional capacity to help backstop their existing suppliers. And what we realized is that collectively, between Crane and Lamesa are 2 sites in the Permian, we've got more than 1 million tons per year of excess wet sand capacity that we just used to build up stockpiles that we pulled from to drive that sand later on. So we realized we could potentially sell that into the industry. And then as we thought about the best way to get that out to the well site, we started working on, what we call, our damp SandBox offering. So it's a -- it looks like the normal SandBox in some ways, but it has a lot of modifications and then there's other things that have to be done in terms of feeding that into the blender hopper on site. But all in all, when we launched this offering in Q1, it was met with a lot of success out in the industry. And we actually delivered more than 7,500 loads of sand in Q1. And we found that our equipment kept up very well with simul fracs and some of the other high-capacity zipper jobs that were being done out in the industry. And we've kind of designed the Sandbox system to handle this damp product to pair up nicely with our capacity and our locations. And so it's kind of a turnkey solution, if you will, for customers. So I think it's going to be a nice plus 1 to oil and gas profitability. And in terms of Q1, there was few million dollars worth of contribution margin in our numbers from that system. But I think you'll see this system plus a couple of the other well site offerings, which we haven't talked about yet, which we probably will in the coming quarters here. You see all of that be a nice tailwind for our Oil and Gas business here in 2023 and beyond.
Samantha Hoh : Looking forward to hearing more about that. I guess my other thing that I'm really curious about is there is a bunch of news about this new EPA tail pipe emission standards, which I know doesn't really apply to you guys. But I was curious if you could give us an update on your ultrafine silica for gas and diesel emissions in Europe. I feel like you guys have talked about that in the past in terms of retrofittings to our emissions out there. And just kind of curious if you can give us an update on that initiative and maybe just like the green diesel growth opportunities?
Bryan Shinn: Sure. Sure, Samantha. So we make a product, it's a very specialty silica that as far as I know, we're the only ones in the world that can make this product and we have a contract with a specific supplier who turns that into what ultimately are specialty filters for diesel cars in Europe and in Asia to meet some of the recent new standards that are in place over there. And so to my knowledge, we don't sell that in the U.S. yet, but perhaps that could be coming. So that might be an expansion for us. But it's just an example of the kind of product that we make that really is sort of an advanced material product as opposed to some of the more basic silica products or diatomaceous earth that we mine out of the ground. So I think that one will probably be a growth opportunity for us in the future. In terms of the green diesel, we actually announced on the last earnings call that we were just completing an expansion of our Jackson Mississippi site where we produce the products that go into the green diesel chain from a play standpoint. And we also sell diatomaceous earth in there. So I think we'll definitely see additional profits coming from that, from both of those products. And in that case, we're not actually a final ingredient in the green diesel, but we're a filtration kind of processing aid that helps clean up the streams that are coming in. So if you look at how that works, there's a lot of waste oil that gets collected from McDonald's and other sort of restaurants, things like that. That all has to be cleaned up before it can be processed into the diesel alternative product, and we're a key part of that process. So more to come on that. I think there's lots of expansions planned around the country in terms of different entities that are investing in this green diesel processing. And I think we'll probably see the capacity in the industry double or triple over the next few years. So that should bode well for our opportunity to continue to grow into that end use.
Samantha Hoh: Great. Just if I can squeeze one more in. You mentioned the new tenure agreement with the building product customer, that 4 million tonnes. Is that sort of a minimum? Or I mean, how does that work in terms of that agreement? It seems like a pretty good volume from that customer?
Bryan Shinn: Yes. So I can’t really talk too much about the contract specifically, but I would expect that’s a reasonable outcome over the course of the next decade. But what I particularly like about that, though, is it’s a great long-term contract, they’re building a facility right next to our site. So it seems like that's a really kind of de-risked value stream for us. And we see that in -- we've seen that in years past where our customers from the glass industry would literally come build a glass furnace right next to one of our sites. And it just sort of talks -- speaks to the consistency and the cash generation that comes from our industrial business as well. But this is a great deal for us. We're always trying to lock in business for the long term like that. And we do that on the Industrial side, but also on the Oil and Gas side for sure. So it feels like it just kind of derisks our earnings stream over time.
Operator: Our next question is from John Daniel with Daniel Energy Partners.
John Daniel: Two quick questions, not that hard. The first one is the 85% of the volumes that are contracted. Can you say how much seasonality might be built into that -- those contracts, if any?
Bryan Shinn: So it's typical oilfield, right? I think if you'd asked me that question a couple of years ago, I would have said that the first quarter will be lower perhaps and the fourth quarter might be lower. But we've seen all kinds of different things there. And I think we've kind of taken some of the seasonality out of the business right now. We used to talk a lot about budget exhaustion to later in the year, but we haven't seen that recently for a variety of reasons. So I would expect things to be a bit more flat than what we've seen in prior years.
John Daniel: Got it. And if you had to look into your crystal ball, I think you said 1 million tons of, call it, wet sand capacity 2, 3, 4 years, what's the right number that you think you could be at for that?
Bryan Shinn: So that is our installed capacity right now. So unless we put investment in which we’re not planning to do, we’ll be a little bit over 1 million tons, I think, 1 million tons plus. So when – as many people know when you build a sand mine like this, typically, your wet section, the mining section is built to a higher capacity than your drying section. And so all we’re doing is basically just kind of taking some of that wet capacity, if you will, that existed when we built the site. Thanks, John.
Operator: [Operator Instructions] We do have a follow-up from Derek Podhaizer with Barclays.
Derek Podhaizer: Going back to the cash generation, you lifted the guidance of $200 million. Your net leverage is 3 quarters ahead of schedule, you're going down to 1.5 by the end of the year. I think you've talked about wanting to have 2024 target as far as just net debt. Maybe just update us on the future target for next year and generating all this cash is a good problem to have. And what it means for potential shareholder returns if you think about?
Don Merril : Yes. So look, we wanted to be somewhere in the neighborhood of 1.5 to 1.75x going into 2024. I think we’re going to surpass that in my prepared remarks, saying 1.5, and I quite frankly think that’s a little bit conservative. So there’s a certain amount of leverage that we’re going to retain. And then after that, as we look into 2024, growing the business, making sure that we’re – we’ve got the right amount of capital going into our ISP growth projects and continuous improvement projects, we could start to look at other uses of capital which would include returning cash to shareholders.
Operator: And we have a follow-up question from Stephen Gengaro with Stifel.
Stephen Gengaro: So can you update us -- and I know you talked a little bit about the ISP segment. You've kind of laid out this road map of the impact of new product introductions, and I know there's a lot of moving pieces, but can you just give us an update on sort of the traction you've had and the -- how you are on pace towards your targets for, I think, '24, '25?
Bryan Shinn: Sure, Stephen. So I feel like we’re right on track with what we had announced previously. And if you look at our new product launches and what we plan to do this year, I think we’ll hit those targets. We’re doing some capital expansion that we talked about on the last earnings call for some of our sold-out offerings, some of our ground silicas and our DE fine fillers and powders, really high-value offerings that we have. So capital expansion there. I think those are on track based on what I can see. We’re also, as we mentioned on the last earnings call, doing a big expansion of our milling capacity at our Millen, Georgia site. We’ve undertaken that with vigor and I think we’re on track there. So everything looks like it’s kind of on the right path. And I will say that with some of our larger products, particularly the EverWhite product line, we’re getting a lot of interest out in the market. I mentioned in prepared remarks that we’ve got some new qualifications that we receive from customers and some of targeted end uses, we’ve got a big product launch coming up here to get some other things out to customers. So I think things are really coming into focus. And one of the things that I’m really excited about is by the end of the year, we will have opened up our new product innovation center that’s located in Illinois near our flagship industrial site there. And that will give us a lot of additional capabilities to really scale up some of our, what I’ll call, kind of bench scale products that look great in the lab, but we need to make product quantities that are larger for production trials out with customers. So pretty exciting stuff going on and lot of things kind of progressing on track from my perspective.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to management for closing comments.
Bryan Shinn: Thanks, operator. Just maybe a couple of thoughts here. As we look ahead, we remain very confident that our industry-leading business segments, marketing capital discipline, free cash flow visibility and commitment to further strengthening our balance sheet will deliver substantial value for our shareholders and other stakeholders. And we look forward to talking with you all again next quarter and giving you some more updates and thanks again for everyone who joined our call today. Everyone, take care, stay safe and be well.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you again for your participation.